Quintin Lai: [Call Starts Abruptly] …conference call. We issued our financial results this morning, and the release has been posted in the Investors section on the company's website located at westpharma.com. This morning, Eric Green and Bernard Birkett will review our financial results, provide an update on our business and present an update on our financial outlook for the full year 2023. There's a slide presentation that accompanies today's call and a copy of that presentation is available on the Investors section of our website. On Slide 4, our safe harbor statement. Statements made by the management on this call and in the accompanying presentation contain forward-looking statements within the meaning of U.S. federal securities law. These statements are based on our beliefs and assumptions, current expectations, estimates and forecasts. The company's future results are influenced by many factors beyond the control of the company. Actual results could differ materially from past results as well as those expressed or implied in any forward-looking statements made here. Please refer to today's press release as well as any other disclosures made by the company regarding the risks to which it is subject, including our 10-K, 10-Q and 8-K reports. During today's call, management will make reference to non-GAAP financial measures, including organic sales growth, adjusted operating profit, adjusted operating profit margin and adjusted diluted EPS. Reconciliations and limitations of the non-GAAP financial measures to the most comparable financial results prepared in conformity to GAAP are provided in this morning's earnings release. I now turn the call over to our CEO, Eric Green. Eric?
Eric Green: Great. Thank you, Quintin, and good morning, everyone. Thanks for joining us today. We will start on Slide 5. On April 14, West turned 100 years old. This is a major milestone that we're very proud of. Over the course of our 100-year history, the West name has come to mean so much to so many people. I would like to recognize our founder, Herman O. West, and the past generations of leadership that have built West to who we are today. In addition, I want to especially thank our 10,000-plus team members who are motivated by our purpose of improving patient lives and making a difference in the communities in which we work and live. Moving to Slide 6. I am pleased to report that we delivered a solid first quarter. This was driven by overall organic sales growth of over 2%. Excluding COVID-19, our base organic sales grew high teens. Our end markets remain stable even in this uncertain macroeconomic environment. As expected, we saw a drop in COVID-19-related sales compared to last year. That said, our Biologics market unit, excluding COVID, again grew double digits, and we expect this trend to continue for the rest of the year. With a focus on reprioritization of longer lead time components, our Generics and Pharma market units delivered an especially strong quarter of double-digit organic growth. In addition, our Contract Manufacturing had solid growth while delivering components for injection-related devices. This overall performance is a result of our team members across the globe as they remain focused on our strategic initiative of execute, innovate and grow. The resiliency of the business continues to be a reflection of our team members, and I want to acknowledge these efforts and say thank you. Turning to Slide 7. In addition to our financial performance, there were several other significant accomplishments in our quarter. I would like to highlight a few. In February, we opened our new R&D lab in Radnor, Pennsylvania. This investment supports our capability enhancements while meeting the growing needs of customers in the changing regulatory environment across the globe. The lab supplied research will include containment and systems for advanced therapies and biomaterials, along with advanced design and engineering for drug delivery. In addition, the lab will also test and develop elastomer glass systems, and the work done here will support our future R&D ambitions for new containment and packaging solutions. Our product innovations have been recognized with several notable awards, including the Best Technologies Award at Interphex for our West Ready Pack with Corning's Valor ready-to-use vials. And as we continue to make tremendous strides in ESG, we have announced a stability partnership with the Philadelphia Eagles who are recognized as environmental stewards across all areas of their business. We look forward to sharing more detail on our ESG efforts in our corporate responsibility report to be published shortly. Shifting to Slide 8. A robust capital investments through expansions and optimizing productivity across our global operations remain on track. We continue to drive forward the expansion of additional HVP capacity with the anticipated growth of our customers' biologic portfolios and drug launches. This includes the installation and validation of new manufacturing equipment for HVP plungers and finishing capabilities, which will continue to come online throughout 2023 and into 2024. Moving to Slide 9. We are reiterating our full year 2023 organic sales growth outlook of 3% to 4% and are raising our 2023 financial outlook for overall net sales and adjusted diluted EPS. While Bernard will go over more details in his remarks, I want to make a few high-level comments. We continue to see a decline in overall COVID-19 sales and now expect $60 million for the full year 2023 instead of $85 million. Even with this change, we are reaffirming full year 2023 overall organic sales guidance. We continue to expect mid-teens Proprietary Products base organic sales growth for the year. Contract Manufacturing is now expected to be double-digit growth compared to prior high single-digit outlook as we expect to see continued demand for certain injection devices as seen in Q1. Now I'll turn the call over to Bernard. Bernard?
Bernard Birkett: Thank you, Eric, and good morning. We'll first look at Q1 2023 revenues and profits, where we saw low single-digit organic sales growth and a decline in operating profit and diluted EPS compared to the first quarter of 2022. I will take you through the drivers impacting sales and margin in the quarter as well as some balance sheet takeaways. And finally, we will provide an update to our 2023 guidance. First up, Q1. Our financial results are summarized on Slide 10, and the reconciliation of non-U.S. GAAP measures are described in Slides 17 to 20. We recorded net sales of $716.6 million, representing organic sales growth of 2.3%. COVID-related net revenues are estimated to have been approximately $23 million in the quarter, an approximate $88 million reduction compared to the prior year. These net revenues in 2022 include our assessment of components associated with vaccines, treatment and diagnosis of COVID-19 patients, offset by lower sales to customers affected by lower volumes due to the pandemic. Looking at Slide 11, Proprietary Products organic net sales remained flat in the quarter. High-value products, which made up more than 70% of Proprietary Product sales in the quarter, declined by low single digits due to the reduction in COVID-related net revenues. Looking at the performance of the market units, the Generics market unit delivered high double digits growth led by sales of Westar components, while the Pharma market unit experienced low double-digit growth led by Envision and Westar components as well as Admin Systems. And the Biologics market unit saw double-digit -- saw a double-digit decline due to a reduction in sales related to COVID-19 vaccine. Our Contract Manufacturing segment experienced double-digit net sales growth in the first quarter, primarily driven by an increase in sales of components related to injection-related devices. Our adjusted operating profit margin of 23% was a 340 basis point decrease from the same period last year. Finally, adjusted diluted EPS declined 13.9% for Q1. Excluding stock-based compensation tax benefits, EPS decreased by approximately 16.1%. Now let's review the drivers in both our revenue and profit performance. On Slide 12, we show the contributions to organic sales growth in the quarter. Sales price increases contributed $38 million or 5.3 percentage points of growth in the quarter. Offsetting price was a negative mix impact of $21.3 million, primarily due to a reduction in COVID-19-related net demand and a foreign currency headwind of approximately $20.1 million. Looking at margin performance, Slide 13 shows our consolidated gross profit margin of 37.9% for Q1 2023, down from 39.5% in Q1 2022. Proprietary Products first quarter gross profit margin of 42.5% was 90 basis points lower than the margin achieved in the first quarter of 2022. The key drivers for the decline in Proprietary Products gross profit margin were unfavorable mix from a reduction in sales related to COVID-19 vaccines and continued inflationary pressures on our planned costs, including labor, raw materials and overheads. These factors were partially offset by sales price increases and production efficiencies. Contract Manufacturing first quarter gross profit margin of 17.6% was 250 basis points below the margin achieved in the first quarter of 2022, primarily due to mix of products sold. Now let's look at our balance sheet and review how we've done in terms of generating more cash. On Slide 14, we have listed some key cash flow metrics. Operating cash flow was $138.1 million for the 3 months ended March 2023, a decrease of $13.1 million compared to the same period last year, an 8.7% decrease, primarily due to a decline in operating results. Our first quarter of 2023 year-to-date capital spending was $82.1 million, $16.3 million higher than the same period last year. We continue to leverage our CapEx to increase our high-value product manufacturing capacity within our existing facilities in the U.S., Germany, Ireland and Singapore. Working capital of approximately $1.4 billion at March 31, 2023, remained consistent from December 31, 2022. Our cash balance at March 31 of $886.3 million was $8 million lower than our December 2022 balance. The decrease in cash is primarily due to our share repurchase program and higher CapEx, offset by operating cash flow for the first quarter. Turning to guidance, Slide 9 provides a high-level summary. We are updating our full year 2023 net sales guidance and expect net sales to be in a range of $2.965 billion to $2.99 billion compared to our prior guidance range of $2.935 billion to $2.96 billion. There is an estimated full year 2023 tailwind of $15 million based on current foreign exchange rates compared to prior guidance of the 2023 headwind of $30 million. We expect organic sales growth to be approximately 3% to 4%, unchanged from prior guidance. We expect our full year 2023 adjusted diluted EPS guidance to be in a range of $7.50 to $7.65 compared to a prior range of $7.25 to $7.40. Also, our CapEx guidance is $350 million for the year, unchanged from prior guidance. There are some key elements I want to bring your attention to as you review our guidance. We expect full year COVID-19-related sales to be approximately $60 million compared to prior guidance of approximately $85 million. Net sales guidance also includes a reduction of $8 million, resulting from an expected divestiture of a European facility that produced standard Proprietary Product components. Full year 2023 adjusted diluted EPS guidance range includes an estimated FX tailwind of approximately $0.02 based on current foreign currency exchange rates compared to prior guidance of a headwind of $0.11. The updated guidance also includes EPS of $0.15 associated with first quarter 2023 tax benefits from stock-based compensation. Our guidance does not include potential future tax benefits from stock-based compensation. I would now like to turn the call back over to Eric.
Eric Green: Thank you, Bernard. To summarize, on Slide 15, the solid financial performance and execution in Q1 continues to reaffirm we have a strong base business and are delivering unique value to our customers. While there may be instability in some small cash-dependent biotechs, these customers are not a substantial portion of our business. Our end markets remain stable, and there continues to be a promising pipeline of new drugs that could have meaningful launches and/or expansions over the next few years, which means more HVP sales opportunities for West. Our global operations team is efficiently manufacturing and delivering products in this complex environment with a focus on service and quality. And we're continuing to progress capital spending across our operations to meet current and anticipated future growth. With great pride, we realize this criticality of our products for health care across the globe, which is why our purpose to improve patient lives propels us each and every day. Norma, we're ready to take questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Larry Solow with CJS Securities.
Larry Scott: Congrats on another good start to the year. Eric, just sort of, I guess, a little bit of a quick question on the quarter and a little more high level. Just obviously, a little bit of a step-up in acceleration in sort of core growth. I think you mentioned mid-teens -- high-teens growth this quarter in Proprietary Products, and I think your guidance kind of points to sort of mid- to high-teens growth for the year. And obviously, it's a little bit of a shift away from COVID for you guys. Are your customers, from their perspective, has that helped too in terms of less focus on -- at some of your customers on co treatments and more back to their core? I'm just trying to bucket sort of the drivers of the acceleration of growth between COVID, perhaps a little bit waning COVID impacts and just more growth, I guess, in NovaPure and other high-value products. And I guess the third thing is just the overall growth in Biologics. But I'm just trying to get a feel for how those 3 drivers sort of line up, if you will.
Eric Green: Yes. Great. Thank you, Larry. We're seeing -- obviously, as COVID demand decreases, we've been able to -- through the reprioritization of the long lead items, we're able to bring them back in line what we expect for the market. And therefore, you're seeing us -- very strong growth in both the Pharma and the Generics market units, which is significantly higher than what you would see from a market volume-demand perspective. So that's where you see the benefit, specifically on Generics is really due to the long lead times that are being brought in. We did see a little bit better performance in our Contract Manufacturing. And as we've been making investments specifically in that area, very targeted investments, those are coming online, and we're starting to see the benefit, and that's the reason why we moved up the full year look. On the Biologics side, I have to be -- I'm very proud on how we continue to do very well in that area, not just on current drugs in the market, but also new drug launches and our participation rate is -- remains very high. And so we were excited to carry on that growth. But you're absolutely correct, the COVID reduction mutes that overall number. And that's why we're trying to be more transparent about the core itself. So we're very -- we're pleased across the board on the execution. And overall, it's a very strong start to the year.
Larry Scott: And in terms of capital projects, capital expansion plans, obviously, you guys, I think you've more than probably doubled capacity over the last couple of years or in the last 3 years. As you go out into '24, do you see -- I suppose at some point, we'll have a slowdown or a pause in the expansion. Do you view this? Or how do you sort of view that your longer-term plans out beyond sort of the next 12 months?
Eric Green: Yes, Larry, it's -- you're right, we had some significant capital investments over the last couple of years. One was to fuel or build to support the vaccines during the pandemic. And fortunately, the team was very focused on helping our customers with these solutions around the higher end of high-value products. So this equipment is fungible. We're still leveraging that existing equipment for base business growth, particularly on the Biologics area. And we're continuing to add -- layer in more capital. The capital we are layering in right now is shifting a little bit away from what I would call the vial configuration to more prefilled syringes and, i.e., our plunger manufacturing capabilities, which are coming online this year and then in 2024. But that is based on demand that we have in our hands today and into the next couple of years. So we will continue to layer in capital when the growth profile remains as we're seeing today. But you're right, Larry, if there's opportunities to continue to leverage existing assets more effectively. That's the first thing we look at. How do we leverage what we currently have, create the efficiencies, higher automation before we start investing more, and that's a daily framework as we think about capital investment. So the long story short would be if we continue to invest as we are, it's because the growth of the business is greater than we anticipated.
Larry Scott: Got you. And then just lastly, a quick question for Bernard. On Proprietary Products gross margin down a little, I think 90 bps year-over-year, but I think it absorbed like $90 million or so drop in COVID sales, right? So something around -- I don't think you can give the actual quarter number, but somewhere around there. So I'm just trying to -- going forward, gross margin, it feels like most of the COVID benefit is added there, right? So should we kind of expect Proprietary Products gross margin to this be maybe a good number, a good starting point and maybe we can grow a little bit off of this gross margin base?
Bernard Birkett: Just on the COVID, we did -- you kind of said that we did $88 million, I think, in Q1 2022, and that was about $23 million in this quarter. So the drop was pretty significant. But we have been really focused on increasing the level of efficiency through our plants, really understanding the cost base and as we were progressing through 2022, we're already lining up changes. We're starting to see the impact there. Also, the price that we've been able to get, which is above what we would normally see, more than 5%, that's also helping with that margin and to absorb some of the inflationary costs. So I would expect it to -- it is a good start for the year. There's obviously a lot of puts and takes, given what's going on within the macro environment, but we're confident to deliver within our guidance.
Operator: Our next question comes from the line of Paul Knight with KeyBanc Capital Markets.
Paul Knight: Eric, when -- on the CapEx side, is Michigan now online? And then when you do deploy this CapEx, when does that start to deliver revenue? Is it a 1-year? Is it a 2-year lag? And then my last question would be, where do you benefit from this growth in GLP-1s?
Eric Green: Yes. Thanks, Paul. So in the capital, fortunately, we're in a good position when we're layering in the capital once we install and then validates revenues are coming off rather quickly. So you mentioned about Grand Rapids, Michigan is one of our contract manufacturing sites. When the lines are ready to go, we'll turn them on and to be able to meet the demand requirements. And that's very consistent across proprietary and also see them in today's environment. I would say if you look back historically, while we made the right investments, sometimes we would do greenfield, those are the ones that take longer period to get the demand to fill those plants. But the investments we're making today are really about more near-term demand requirements. In some cases, we're trying to catch up. On the GLP-1, there's -- it's an interesting dynamic that is occurring. As you can imagine, West, as we did with the vaccines in the pandemic, you can imagine that our participation in GLP-1 with multiple customers, multiple components both in the proprietary area, but also in the contract manufacturing from an injectable device perspective. So we are obviously participating in that area. We're seeing the demand. We don't call out specific drugs or customers and -- but we are investing, particularly around plungers and also in the Contract Manufacturing area about injectors -- auto-injectors. So you've seen that in both camps as we speak today.
Paul Knight: And then last question would be for Bernard. Bernard, what's your implied operating margin for the -- or guide for the year?
Bernard Birkett: Approximately 23%. And just on Larry's question, I just want to clarify one thing. The difference is on the COVID revenue between Q1 2023 and 2022 is $88 million. Just to clarify that the drop was $88 million.
Operator: Next question comes from the line of Matt Larew with William Blair.
Matt Larew: For the space more broadly, the destocking has been an issue. And obviously, that's further upstream and not something that's really attractive for your business. But just on the subject to visibility, could you maybe speak to your visibility into customer demand right now, particularly around HVP, and maybe how that compares to your historical visibility over the last 3 to 5 years or so?
Eric Green: Yes, Matt, I think before COVID, we were continuously building the capabilities to have better visibility with our customers in the markets around demand. And we have been building that, I would say, during the COVID period. It's been a little more volatile. But now we're back into that environment, have better visibility, better -- as we do make to order, our customers are giving us visibility of their demands over the next several quarters. And then we plan accordingly in our global operations to be able to support them on existing drugs but also new launches. In regards to any movements of stocking or working capital, we do see some of that in certain parts of the business. And we take that in consideration when we think about our forecast or guidance for the full year. There are certain areas, I would say, probably more on our non-HVP area that might have more volatility. On the high-value product area, that is going back to our capital investments, we need to continue to fuel that to try to get ahead of the curve versus trying to maintain where we are right now. So the demand is greater than we have capacity in as we speak. So it's just seen blend right now, Matt, and we have better visibility. But it's not consistent across the whole portfolio, but I think we're responding appropriately.
Matt Larew: Okay. And then decommissioning a plant in Europe, making both products amidst significant investment in HVP capacity, I guess that speaks to the change in order book. But maybe could you just give us a sense for, as we think about order book occurring today and what sort of what's in your order pipeline over the next 6 months, 12 months, how that compares to 3 or 5 years ago? And then specifically on -- you mentioned on the GLP-1s, you participate on the plunger side. Are those NovaPure plungers, I assume?
Eric Green: Well, Matt, a couple of points there. One is, you're right, the decommissioning of the plant, that's a plant that is a single product, single customer. And we're very pleased on how that is now -- that was a standard product. So it wasn't that in relation to high-value products. Right. It's a standard price is basically we've had this discussion for a long time. It doesn't fit our growth strategy. So therefore, we've made the decision with our customer and also another party to make sure that they can continue on producing those products for our customers but in someone else's hands. I think from an order book perspective, if you think about where our growth profile is really is around the Biologics, we obviously have high growth right now in Generics and Pharma. We'll continue to see that over the course of 2023. But really, as you think about the future longer term, it is around the biologics in multiple therapeutic categories, and it tends to be the higher end of our high-value products. The plunger, specifically, it's a range of different types of plungers within high-value products. So it ranges anywhere from FluroTec all the way up to NovaPure, depending on the customers' needs. So it is kind of a range. But our -- the optics of our order book continues to be strong, but this portion of that tends to be more around the high-value products and the higher end of that.
Operator: Next question comes from the line of Jacob Johnson with Stephens.
Jacob Johnson: Maybe first, just sticking on the GLP-1 topic. And as it relates to contract manufacturing, I think that's a business that at times kind of the work you do with customers can vary year-to-year. Obviously, strong start to the year. You're increasing expectations there. Is this something that is kind of sustainable growth for you all? Or is there something about 2023 that maybe we shouldn't carry this forward into 2024 and beyond?
Bernard Birkett: Yes, Jacob typically would the growth rate in contract manufacturing around mid-single digits within our longer-term construct. Last year, we had declines in the Contract Manufacturing business, and now we're seeing a bit of a rebound. So if I'm looking out past 2023, it will be kind of more the mid-single, high single-digit growth rate.
Jacob Johnson: Okay. And then just a couple of kind of cleanups on some of the commentary around the outlook for this year. If I'm not mistaken, I think you said mid-teens ex COVID growth in proprietary products. But I think that was high teens last -- on the last call. And then off the 23% op margins, I think that was 23% to 24% last quarter. Is this something to do with kind of the stronger Contract Manufacturing growth in the -- for the year? Just anything you can kind of flesh out in terms of that commentary.
Bernard Birkett: Yes. On the operating margin, a little bit of it is around Contract Manufacturing. And then they're having less -- that COVID business coming through versus what we expected. So they are the primary drivers there.
Eric Green: On the revenue side, when we talk about the proprietary outlook, it's relatively -- it's pretty consistent to the COVID guidance in February without COVID. So the -- all 3 units will be very strong throughout the full year and relatively consistent as far as performance in that area.
Operator: Our next question comes from the line of Derik De Bruin with Bank of America.
Derik De Bruin: A couple of questions. Is there a good rule of thumb to think about your CapEx in terms of revenue generation? For every dollar you spend in CapEx, it can generate X amount of revenues. I'm just trying to think about future opportunities and just sort of thinking about all the spend and how West will build it out.
Bernard Birkett: Yes. We haven't communicated that in the past. I think we -- what we have communicated is to say that a larger portion of our CapEx spend over the last number of years has been focused on growth, and that growth is really within high-value products. So the investment in CapEx is driving obviously both revenue improvement, but also delivering on that operating margin improvement, so it's encompassed in that.
Derik De Bruin: So going down, so was going to the mix shift next because obviously, that has accelerated recently. When you think about your forward model construct, are -- does that margin sort of look more like 150 basis points? Or are you still thinking about 100 basis points is where you should come out on the op margin expansion on an annual basis, just given the mix?
Eric Green: Yes, Derik, I'm not going to give you a number, but we've said that we will achieve a 100-plus basis point margin expansion year-over-year for a number of years. And -- but as an organization, as a team, we're really focused on how can we continue to beat that. Looking at through automation, looking at the mix shift effect that's happening, really when you think about the Biologics, just reviewing the -- our participation in Biologics more recently continues to remain extremely strong. I'm very proud of that. And so we believe we're going to commit to the 100-plus basis points in operating margin, but we do believe there's opportunities to continue that and stay aggressive.
Derik De Bruin: Great. And just one more. So I'm thinking about some of the newer drug opportunities. I mean, obviously, there's a lot of interest in discussion on GLPs. But you've had to build capacity for a number of -- I mean this isn't like COVID where it suddenly popped up overnight. I mean you've been building capacity for a while. You've known there were trials coming. So I'm just sort of curious like what do we need to see in sort of some of the GLP trends in the market, prescription trends to sort of like think about what the upside driver of that could be to your business? Because there's clearly something already embedded in, it isn't like a virgin market where you are. So I'm just curious on how you're thinking about that market as it expands.
Eric Green: There's 2 areas. One area, specifically around our product portfolio, unlike what we've seen in other types of configurations like vial configuration, we can get multiple doses per vial. In this particular area is single dose, right? And so as prefilled syringes continue to grow, we're going to need to continue to invest in plungers. And that's what we're seeing, and that's where our areas of investments are going. And we'll continue to respond to our customers' forecasted demand. And again, it's more than just one customer, it's multiple customers. So that's one. It's around the conversations with our customers planning ahead, not on just existing solutions in the market, but future drug launches that they're planning, that's where our conversation is. If we're waiting to the commercialization of them, we were today and they're today. So that's one area. On the Contract Manufacturing side, a little different where, as you know, we've been very clear about this, that part of our business, unlike our proprietary business where if you're on the molecule, you're pretty much the main provider of those components. In the Contract Manufacturing, our customers tend to diversify with multiple companies to be able to produce those, i.e., auto injectors. So while that volume goes up, I wouldn't say it's 1 to 1 for us. It's clear in the proprietary side, but not as much on the Contract Manufacturing side. So hopefully, it gives you a little bit of kind of visibility and particularly around the GLP-1 specific area.
Operator: Our next question comes from the line of John Sourbeer with UBS.
John Sourbeer: So I think it sounds like you said that contract manufacturing that, that could grow from mid-single digits, I think, was the previous long-term target there to mid-single to high single digits. Is that increase over the long term, is that all GLP-1s? Or are there other drivers there that would be driving that upside?
Eric Green: Well, I would say it's just a mixture of multiple -- a few different customers in a few different products. GLP would be one area, but not the only area of growth. So the investments that we've been layering in, specifically in contract manufacturing, have been coming on board end of last year into this year. And we'll continue to layer that in, if and when necessary, with our customers. So yes, there's a portion of it is due to GLP-1.
John Sourbeer: Just when you look -- I think the company has framed that the long-term revenue target in that high single-digit range, but now you're seeing strong trends throughout the portfolio, some increases in Contract Manufacturing. Just any thoughts on how that revenue growth could look like beyond 2023.
Eric Green: Yes. I think the same focus on the long-term construct to a [indiscernible] 7% to 9% organic sales growth. We're excited that, obviously, we do have a role to play with the GLP-1 as that evolves. I'm excited because as an organization, we can support our customers in multiple fronts, i.e., multiple different components in proprietary. That, to me, has a higher economic profile for us and then the Contract Manufacturing, while we play in both higher dependency on the proprietary side. But I would say that our growth, when we say the 7% to 9% organic growth outlook, it's not solely reliant on that category. We have numerous customers with different types of launches that are turning and uptake of current drugs in the market that we need to keep fueling. So it's a mixture of multiple drugs, multiple customers and multiple therapy classes. Yes, we participate in GLP-1, but I want to make sure that it's -- the growth of this business is very diversified.
Operator: And I'm currently showing no further questions at this time. I would like to hand the conference back over to Quintin Lai for closing remarks.
Quintin Lai: Thank you, Norma, and thank you all of us for joining us on today's conference call. An online archive of the broadcast will be available on our website at westpharma.com in the Investors section. Additionally, you may access a replay for 30 days following this presentation by using the instructions at the end of today's earnings release. And an acknowledgment of our sustainability partnership with the Philadelphia Eagles, it gives me a unique opportunity to conclude the call with Fly Eagles Fly. Have a nice day.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect. Everyone, have a wonderful day.